Operator: Good morning, and thank you for joining the Insteel Industries First Quarter 2025 Earnings Call. My name is Harry, and I'll be your operator today. [Operator Instructions] I would now like to hand the conference over to H. Woltz, Insteel Industries' President and CEO. Mr. Woltz, please go ahead.
H.O. Woltz III: Okay. Thank you, Harry. Good morning. Thank you for your interest in Insteel, and welcome to our first quarter 2025 conference call, which will be conducted by Scot Jafroodi, our Vice President, CFO and Treasurer; and me. Before we begin, let me remind you that some of the comments made in our presentation are considered to be forward-looking statements that are subject to various risks and uncertainties, which could cause actual results to differ materially from those projected. These risk factors are described in our periodic filings with the SEC. We're pleased to have experienced a material upturn in business activity during the first fiscal quarter relative to the same period last year. Seasonally, however, trends were normal, resulting in lower shipments sequentially. Following the lackluster demand environment that persisted through fiscal 2024, we made two important acquisitions during our first quarter that we expect to deliver solid returns for shareholders going forward. I'm going to turn the call over to Scott to comment on our financial results for the quarter in the macro environment, and then I'll kick it off to discuss our business outlook and provide some insight on the rationale for our acquisition activity.
Scot Jafroodi: Thank you, H, and good morning to everyone joining us on the call. Earlier today, we reported our results for the first quarter of fiscal 2025, which were largely in line with the same period last year. Improved spreads between selling prices and raw material costs, coupled with increased demand from our concrete reinforcing products, offset the impact of higher selling, general and administrative expenses. Net earnings for the quarter were unchanged at $1.1 million or $0.06 per share. However, after adjusting for the nonrecurring charges outlined in our press release, adjusted net earnings increased to $0.10 per share. Shipments for the first quarter, typically our slowest period due to winter weather and holiday schedules, increased 11.4% year-over-year. Sequentially, shipments declined by 4.5% from Q4, a considerably smaller drop than usual seasonal decrease. This strong performance was driven by increased order activity across our commercial and infrastructure end markets, along with incremental volumes from our first quarter acquisitions of Engineered Wire Products and O'Brien Wire Products in Texas. Additionally, first quarter volumes were benefited by shipments deferred from the fourth quarter due to weather-related delays as well as demand from customers seeking to complete projects ahead of the winter season. Average selling prices for the quarter declined 4.3% year-over-year, reflecting the competitive market conditions experienced throughout the past year and the ongoing impact of low-priced PC strand imports. However, on a sequential basis, average selling prices increased 1.1% compared to Q4, driven by the implementation of price increases during the quarter in response to rising raw material costs stemming from tightening brass supply. Gross profit for the quarter improved to $9.5 million from $6.3 million a year ago, with gross margin expanding 210 basis points to 7.3% from 5.2%. This improvement was driven by widening spread between selling prices and raw material costs, along with higher shipment volumes, partially offset by increased conversion costs. On a sequential basis, gross profit declined by $2.7 million from the fourth quarter and gross margin narrowed by 180 basis points. As noted earlier, in response to the recent rise in raw material costs, we have made price increases during the quarter. Moreover, an additional price adjustment across most of our product lines went to affect earlier this month. These pricing actions are expected to favorably impact second quarter spreads and margins as higher selling prices will align with the consumption of lower cost inventories under the first-out accounting methodology. Finally, gross margin for the quarter was unfavorably impacted by our two recent acquisitions. The acquisitions resulted in a revaluation of acquired inventory to its fair market value as required in the purchase accounting standards. This adjustment temporarily increased the cost of goods sold on the revalued inventory was sold, which in turn put downward pressure on our gross margins during the period. We estimate that this adjustment lowered our gross margin by 110 basis points for the quarter. This impact is nonrecurring and is expected to normalize at the remaining revalued inventory sold and replaced with inventory recorded at standard cost. SG&A expense for the quarter rose by $1.5 million to $7.9 million or 6.1% of net sales compared to $6.4 million or 5.2% of net sales in the prior year. This increase was primarily attributed to a year-over-year change in the cash render value of life insurance policies, which declined by $275,000 in the current year compared to $675,000 gain in the prior year, reflecting fluctuations in the value of the underlying investments. Additionally, amortization expense rose by $220,000, driven by intangible assets recognized from our recent acquisitions. In addition to higher SG&A expense, we recorded $700,000 in restructuring charges during the quarter. These charges included asset impairment, severance, equipment relocation and plant closure costs related to the recently announced consolidation of our welded wire manufacturing operations. This consolidation included the closure of our facility in Warren, Ohio, which we acquired through our purchase of Engineered Wire Products. Furthermore, we incurred $300,000 of acquisition costs during the period for legal, accounting and other professional fees related to our acquisitions. Our effective tax rate fell slightly to 26.1% from 27.2% a year ago. The decrease was largely driven by the effect of its discrete tax item, which had an amplified impact on the rate due to the lower pretax earnings. Looking ahead to the balance of the year, we expect our effective rate to run close to 23%, substitute level pretax earnings, both tax differences and the other assumptions and estimates that compose our tax provision calculation. Moving to the cash flow statement and balance sheet. Cash flow from operations provided $19 million of cash in the first quarter. This was primarily driven by the changes in net working capital, which included a reduction in receivables, reflecting the usual seasonal slowdown in sales and a decrease in inventories resulting from lower raw material purchases after excluding the impact of the inventory acquired through our acquisitions. Our inventory position at the end of the quarter represented 2.8 months of shipments on a forward-looking basis calculated off of our forecasted Q2 shipments. Finally, our inventories at the end of the first quarter were valued at an average unit cost slightly lower than our first quarter cost of sales and below current replacement cost, which should favorably impact spreads and margins during the second quarter as we consume the lower cost material. We incurred $2.7 million in capital expenditures in the first quarter and remain committed to our full year target of $22 million. H. will provide more detail on this topic in his remarks. In December, we returned $19.4 million of capital to our shareholders through the payment of $1 per share special cash dividend in addition to our regular quarterly dividend. This marks the eighth time in the last nine years that we have issued a special dividend. Also, during the first quarter, we continued our share buyback, repurchasing $617,000 of common equity equal to approximately 22,000 shares. From a liquidity perspective, after funding two acquisitions during the quarter and paying the $1 per share special dividend, we ended with $36 million in cash on hand and no borrowings outstanding on our $100 million revolving credit facility. This strong financial position provides us with significant flexibility and the capability to pursue additional growth opportunities as they arise. Turning to the macro indicators for our construction end markets. The latest reports for the Architectural Billing and Dodge Momentum Index, which are leading indicators for nonresidential building construction, offer an improving view of the market conditions going forward. In November, ABI remained a negative territory for a score of 49.6% and score below 50 in the case of a decline in business conditions. However, despite finishing below 50%, billing and architectural firms stabilized after nearly two years of decline. In addition, inquiries to new products are increasing and encouraging signs moving forward. The Dodge Momentum Index, another leading indicator for nonresidential building construction, rebound 10.2% in December, with commercial planning increasing over 14%, driven mainly by data center and warehouse planning activity. On a year-over-year basis, the overall mix was higher by 19%. Dodge noted that the strong performance of the index's past year is expected to support nonresidential construction spending throughout calendar 2025. The monthly construction spending data from the U.S. Department of Commerce continued to remain fairly strong with the November report showing total from here with nonresidential up 2.8%. However, public highway street construction one of the larger end uses for our products, was down 3.6%. Finally, U.S. cement shipments, another measure that we monitor showed signs of recovery compared to last year, as October 2024 shipments were up 3.5% from the prior year. However, year-to-date shipments are still down 5%. This concludes my prepared remarks, I'll now turn the call back over to H.
H.O. Woltz III: Thank you, Scott. As we commented consistently, the operating environment during fiscal 2024 was difficult as we faced headwinds, including declining steel prices, inventory liquidations by customers, the need to align our finished goods inventories to reflect lower shipments, and finally, the normal seasonal downturn in construction activity. The result, of course, was lower operating rates at our plants, price competition from competitors experiencing the same weak conditions as Insteel and inadequate utilization of the capital investments that we've made over the past few years. While it's too early to know whether the positive trend will continue, we noted a material uptick in demand during our first quarter. We're mindful that the trend must be sustained to justify ramping our operating hours but it is nonetheless welcome. The first few weeks of our second quarter have not provided much additional insight into the underlying state of demand in our markets as we've been affected by the usual seasonal weather trends that have resulted in curtail of operating hours at multiple facilities and at customer facilities. I think when we look back at the winter of 2025, however, we will call it normal. The weak demand environment during 2024 for wire products both construction-related and non-construction related was confirmed by the announced curtailment of domestic capacity to produce steel wire rod Insteel's primary raw material by two producers affecting three steel facilities. It's likely that production at one facility will resume sometime during the first half of 2025, although there is no assurance of this. The other two closures are probably permanent. Meanwhile, the domestic raw material supply has tightened sending prices higher and creating a void that is likely to be filled by imported wire rod beginning late in the current quarter. As we stated on several occasions, the Section 232 tariff structure that is in place has caused hardship to purchasers of top roll wire rod like Insteel because imported wire rod is subject to a 25% tariff, but many downstream products, such as PC strand enter the U.S. market tariff free. It should surprise no one that offshore producers shifted exports to downstream products to avoid the Section 232 tariff. Ironically, as demonstrated by the shutdown of three domestic wire rod production facilities, the dysfunctional Section 232 tariff structure is also harming our suppliers hot-rolled producers, the very industry it was meant to protect. We are working with our supplier community and the administration to resolve this anomaly. Meanwhile, however, we're forced to compete with offshore PC strand that is entering the U.S. market at prices lower than the domestic hot-rolled wire rod price. I would point out that about 30% of our PC strand market and about 10% of our total revenue is directly affected by import competition. We have consciously positioned the Company to avoid markets that are dominated by imports recognizing the unique economic considerations that drive exporters to the U.S. market and the vagaries of U.S. trade policy. It's worth mentioning that the overcapacity problems that plate the steel market worldwide and certainly the U.S. market are of Chinese origin. Mammoth Chinese overcapacity and exports and the resulting price pressure they cause have disrupted normal patterns of commerce across the entire world, leading developed economies in a quandary about how to deal with the situation. The U.S. has tended to fight this battle using tariffs. We're trying to position Insteel on the copper side of this trade policy. As mentioned in the release, we made two important acquisitions during the first quarter, actions that are consistent with our stated capital allocation strategy of using our resources first to grow our business and then to return capital to shareholders as may be appropriate. I can't say enough about the professional integration process, our people completed that accelerates the financial contribution of acquisitions and reduces the risk they create. While not obvious from our first quarter results, we are well on our way to realizing the substantial operating synergies that come to us through these transactions. To date, we have eliminated practically all of the SG&A associated with the acquired operations and identified and realized significant freight and raw material cost reduction opportunities that will become more meaningful as seasonality trends turn in our favor. We could not have accomplished the integrations as quickly or efficiently without sophisticated information systems and diligent professionals to lead the process. I'm grateful to everyone involved. Turning to CapEx. While Q1 came in at other $2.7 million, we expect to invest approximately $22 million in our business during fiscal 2025, which is consistent with the estimate we provided last quarter. Our investments will continue to be targeted toward broadening our product offering, lowering our cash cost of production, enhancing our information systems and maintaining our facilities. As I mentioned previously, we do not try to time our investments to coincide with periods of strong demand for our products. The market is much too volatile and the project lead times to extend it for such an approach to be successful. Instead, we take advantage of technological developments and we maintain our facilities continuously. Insteel continues to be debt-free and has substantial flexibility to make decisions for the long-term best interest of its customers and shareholders. Looking ahead, we're aware of substantial risk related to the future performance of the U.S. economy, and we're monitoring the environment. In any event, we believe we are well positioned to pursue actions to maximize shipments and optimize our costs and to pursue attractive growth opportunities, both organic and through acquisition. This concludes our prepared remarks, and we'll now take your questions. Harry, would you please explain the procedure for asking questions.
Operator: [Operator Instructions] Our first question will be from the line of Julio Romero with Sidoti & Company. Please go ahead. Your line is open.
Julio Romero: Good morning, H and Scott. I wanted to start on demand trends. Could you speak to the material uptick in demand in the December quarter and any particular in-market geographies or product lines that led the uptick?
H.O. Woltz III: It was generally across the board fully and it's a difficult subject to address because there's so many moving parts that affect what we see in our shipments. They're our inventories, they’re our customers' inventories, their weather conditions. It's really difficult to quantify. But nevertheless, our shipments rose substantially in November and December relative to the prior year, and there seemed to be a significant optimism in the market. Whether that continues, as I said in my comments, we don't know. We certainly hope so. But I think we really said all we can say about it at this point.
Julio Romero: Understood. And then it's very nice to see your average selling prices inflect positively here in the quarter on a sequential basis at least. You spoke to a couple of price increases that you passed, one during the quarter and a second here in January. And then obviously, you mentioned wire rod domestic supply tightening, but I'm curious if you could talk about kind of the confidence you had to implement those increases? And does that imply that the pricing pressures from domestic competitors have subsided at all?
H.O. Woltz III: Yes. I think we saw this tightening of domestic supply coming well before it actually materialized. And we announced price increases prospectively, knowing that we're believing that we would be more successful in taking a few bites at the apple rather than try to eat it all at one time. There is a significant supply deficit in the U.S. market. We saw that come in and we started raising our prices accordingly. Now, the interesting part of this is that the tight supply condition right now is related to the supply of wire rod, it is not driven by outstanding demand for wire rod among wire products producers. And I fully expect, as I stated in my comments that we'll see wire rod imports rise significantly toward the end of this quarter and next quarter to fill the gap. Up to this point, our company, and I think a lot of other companies have not built the need to import significant quantities due to -- just due to the economics of importing as well as the long lead times that come with importing. And all of those factors create risk that we didn't want to take that I think many of our competitors and other producers of wire products didn't want to take. But now, with supplies domestically being in question, it's a matter of this is what you have to do. So, we're doing it.
Julio Romero: Very helpful context. And then obviously, congratulations on the acquisitions of Engineered Wire Products and O'Brien as well. You mentioned two weeks than you were up and running on both. Can you just talk about how is the first couple of months of integration post close gone? And how has the reception been from employees, customers, suppliers, et cetera?
H.O. Woltz III: Yes. As I stated in my prepared comments, the integrations were fantastic. And the Engineered Wire Products integration was actually a really big project due to some of the fundamental differences in the way Engineered Wire Products and Insteel deal with data. So, it's a big project, but our people put their nose to the grindstone, they got it done. We never utilized the legacy systems at the acquired companies, we brought those companies up on our own systems. It was not necessarily graceful in the first few days but we got past that relatively quickly. And as I've stated continuously in these calls, the state of our information systems and the professional people that we have on staff are something that's just not common to find in our industry, and they certainly prove their metal in the first fiscal quarter. In terms of the acceptance or the customer view of our acquisitions, I think it's been generally positive. It was no secret to anyone that Engineered Wire Products was not in a position of stability. And I think that there's actually some relief in the marketplace that the Company is in -- and then those production assets are in stable hands now, and it's up to us to be good stewards of that going forward, which we fully intend to be.
Operator: Our next question will be from the line of Tyson Bauer with KC Capital. Please go ahead. Your line is open.
Tyson Bauer: Kind of a follow-up on one of the previous questions. Are you then looking at your revenue growth in '25 to be more driven by price -- favorable pricing or shipment volume growth as you see that demand pick up? How do you kind of split the two?
H.O. Woltz III: Yes. Well, I mean there will obviously be a positive revenue impact from the acquisitions. But as you've seen in the last couple of years, selling prices make a big difference in our top line. And I would tell you right now that as we're looking at tight supplies of wire rod that it's likely that we see that we see. Our selling prices rise, our revenues rise, we'll also see that our cost of raw material rises. So -- but through the -- beyond our second fiscal quarter, I honestly don't know how to respond to the question except to tell you that will definitely benefit from increased shipments due to the acquisitions, but it's hard to say whether market recovery in our legacy business is for real or whether we revert to some of the 2024 trends, I just don't -- I don't know.
Tyson Bauer: Okay. You talked about cost synergies from your acquisitions, M&A activity. Obviously, you have the one big -- the plant shutdown and absorbing that into your existing facilities. What were the annual direct savings from that action? And how would you monetize kind of that centralizing the process to your systems? What kind of savings does that provide annually?
H.O. Woltz III: Well, let me answer the question that you didn't ask. The plant that we closed was running at a marginal or negative EBITDA level. And the reason for that was just an inadequate throughput and inadequate demand to run the plant efficiently. So, once we understood the underlying nature of the financial disappointment there, we determined that those products will be best made at the legacy Insteel facilities, most appropriately positioned geographically to take those products and that's what we did. We will wind up with a considerable amount of surplus equipment following the acquisitions that we made during the first quarter and we have arranged to -- and as well as a real property, we've arranged to sell that surplus equipment outside of North America. And once we have a better focus on the timing of the full wind down at the Warren, Ohio plant will liquidate that real estate.
Tyson Bauer: So, we should see a gain on sale of assets in future quarters?
H.O. Woltz III: Well, I mean, I don't know whether it be a gain or a loss, Tyson. It all depends on what we realized for the asset relative to what they got on our balance sheet at, but there's also the restructuring.
Scot Jafroodi: Yes, Tyson, we fair valued all those assets at the acquisition purchase accounting. So, they should be close to the realizable value they have at the moment.
Tyson Bauer: Okay. But you will monetize it?
H.O. Woltz III: Absolutely.
Tyson Bauer: What do you anticipate SG&A full year we're still kind of in that $32 million, $35 million range is the target range?
H.O. Woltz III: The impact to SG&A is going to be on the intangible amortization from these assets that were generated from the acquisition. And for the remainder of the year, we're probably looking at another $900,000 additional amortization expense over last year for the next nine months.
Tyson Bauer: Okay. When you look at some of the macro things that affect the industry and the business directly, where the priorities are what really has a true material impact? Are you looking more that you need to see a better environment on the interest rate side? Or are you looking at the tariffs would be more impactful and beneficial for the Company, if they were to break favorably towards you, between interest rates and tariffs, how do you weight those?
H.O. Woltz III: Well, what's your projection for the tariff environment, I think. I mean we know what the Section 232 tariff has done, but we don't know what Trump's problems broad-based tariff regime is going to look like. But I would tell you that I don't see a way that, that significantly hurts us because we've already been harmed by 232 in a broader-based tariff system, in my view, would help us, at least in the short term, whether it's the right economic policy longer term, I guess, is debatable. And as for interest rates, as I mentioned during some of our prior calls, I think the spike in interest rates could have affected some speculative projects, but I don't think interest rates ever were high enough to really deter strategic investments by companies. So, I think tariffs are bigger news in our world in interest rates.
Tyson Bauer: Okay. You made a comment about emerging opportunities in your prepared press release. You also mentioned in your comments warehousing, which I guess is back in vogue after a little bit of a pause when we had the big run-up in the COVID years, and a lot of that's tilt up construction that's favorable to you. You mentioned data centers, anything unique on that construction. And any color you can provide on other emerging opportunities that maybe were not or less aware of?
H.O. Woltz III: I don't think that the basic business has changed, Tyson. The same construction markets that drove the business prior to these acquisitions will continue to drive it. Post-acquisition, we've been pretty focused on our core markets and continue to be, and these acquisitions are consistent with that focus. So, I think you'll see us doing more of the same things that we've been doing.
Tyson Bauer: Okay. Last question. In the states you primarily have as end markets or you do more business in that you're approved your products. What kind of granular look on just those that you focus on those DOT budgets for '25, '26, the kind of growth that you anticipate in spending in those areas.
H.O. Woltz III: Well, I don't know that we have any better insight into that than the forecast that we read from various places from the cement industry, from the construction industry, from engineering news record. I don't think that we can really forecast what the market's going to look like, Tyson.
Tyson Bauer: But you are anticipating a trend toward accelerated expenditures that are -- should be favorable to yourself?
H.O. Woltz III: Yes. I mean I think there will come a time when the infrastructure investment and Jobs Act actually creates some demand on the ground. I think there's been precious level of that up to this point. But when it does happen, we'll certainly be a beneficiary. There's no question about it, but I don't know how anyone would forecast or projected.
Operator: We currently have no further questions on the line. [Operator Instructions]. With no further questions on the line at this time, I'd now like to hand the call back to H. Woltz for some closing remarks.
H.O. Woltz III: Okay. Thank you, Harry. We appreciate your interest in Insteel and your participation on the call today. I encourage you to give us a call if you have questions during the quarter, and we look forward to talking to you next quarter. Thank you.
Operator: This will conclude the Insteel Industries first quarter 2021 earnings call. Thank you for your participation. You may now disconnect your lines.